Guillaume Texier: Good morning to everyone, and thank you for joining us today for our First Quarter 2024 Sales Conference. Thank you also for making yourselves available earlier than usual. In addition to issuing our Q1 sales numbers today, we are also hosting our Annual General Meeting this morning. So we moved up our call a bit. As usual, I'm here today with Laurent Delabarre, our CFO. I will focus on a few highlights of our performance. Laurent will give you greater granularity on our numbers, and I'll conclude with the confirmation of our outlook for 2024. So let's begin on Slide 3 with the main highlights of our first quarter 2024 performance. So in the first three months of 2024, Rexel delivered a solid top line performance with all growth components very much in line with what we had guided to in February. We will talk in more detail during the presentation about the electrification base effect as well as the commodities pricing effect. But what is very interesting is that beyond those 2 short-term elements, the underlying ED core business is holding up well with positive pricing overall, positive volume in North America and good order intake as illustrated by the backlog. Residential new construction and also to some extent, renovation are difficult, especially in Europe, but we see strength in nonresidential and also in industrial automation. As the year progresses, we should see improving sequential figures with the base effect easing and market trends improving. I am also happy that the transformation of Rexel is delivering. We can see it in the market share gains that we have posted in many important countries. Our unique combination of value-added services and engaged teams is really making a difference. We can see it also in our digital progression, which continues steadily and which also helps make the difference. We can see it in the implementation of our M&A strategy, which continues to help us position the group on faster growing and more resilient segments, in this case, data comm and security in France with the acquisition of Itesa. Last but not least, the transformation is at play also in the way our teams react internally to a less favorable environment than in previous years to protect our margin and adapt our cost base while still delivering great service to our customers. This is what allows us to confirm our guidance for the year both in top line and in profitability. Moving to Slide 4. The 4.6% overall sales decrease breaks down into a 1.5% decrease in price and a 3.1% decrease in volume, and it's interesting to drill down into the details of the components of the figure. So if we go deeper in terms of granularity, as shown on the chart, our core ED business, representing 63% of our mix held up well. Same-day sales were down a limited 0.8%. The performance in core ED was driven by a positive pricing contribution of 0.7% while volumes were down by a limited 1.5% despite the weakness in residential, as I mentioned. And if we zoom specifically on North America, the core ED figure would be 2.4% -- a positive 2.4% with both price and volume contributing with non-residential, particularly strong. Volume overall were also positive on cable, which accounts for 15% of our mix, rising by 1.2% while pricing in that segment was down 9.4%, resulting in an overall same-day sales drop of 8.2% on cable. Electrification categories representing 22% of our sales, went down 11.7% in the quarter. And most of the drop in electrification categories was from volumes, down 9.8% while overall pricing was resilient, down by a more limited 1.9%. Let's take a closer look at the reasons for this temporary softness in electrification on the next slide. So as shown on Slide 5, electrification growth has slowed after having turned negative in Q4 2023. And the drop we recorded in Q1 is not unexpected and is linked to 3 main factors that we expect to ease in the near future. The first one, as I said, is the base effect. As mentioned in our previous earnings publication, demand for electrification categories reached a peak in H2 2022 and Q1 of 2023 when they grew by more than 30%, so we faced very tough comps this quarter. But as you can see, those comps will ease as of Q2 and should even reverse by the end of the year. The second factor is a lack of clarity on government regulations in several countries as well as many other moving parts like the price of electricity and the price of materials and the consequence of this low visibility is that many end customers have chosen to postpone temporarily their investments. So this wait-and-see effect should clear as the picture stabilizes. And the third factor is the temporary oversupply situation in industrial automation activity in China since mid-2023. This situation is linked to a buildup inventory to counter supply chain issues, which, coupled with lower demand drove down price and volume. However, that oversupply situation is easing and price deflation should ease as well in the coming months. These are all temporary factors, but the longer-term growth factors remain intact, driven notably by a continued push by public authorities as well as by corporate net zero agendas. And it's, by the way, interesting to highlight that despite the negative Q1 figures on a 2-year stack, electrification categories have grown in double digits. So the trend is there, and it will continue. In this context, we continue to steadily implement our strategic actions, and in particular, the key pillar in our Power Up 2025 strategic program. As shown on Slide 6, a particular area of focus of the group is margin resilience, and I am quite happy with what is being done here in terms of reactiveness of our organization. There are several levers we can act on to ensure we maintain a good level of profitability, and this is just what we are doing. Just to mention a few, first, driving market share gains and volume through selective customer targeting and offering higher margin value-added services; second, leveraging our key role in the value chain to pass through price increases; third, enhancing the efficiency of our operation, especially through continued digitalization; and fourth, remaining laser focused on cost discipline, notably by adapting our staffing level to activity and strictly controlling our cost base. These actions, among others, allow us to confirm our 2024 targets as we will see in my concluding remarks. In addition, as shown on Slide 7, we also continue to actively deploy the capital allocation policy we outlined as part of Power Up 2025, which aims to balance organic growth, acquisitions and shareholder returns. On the acquisition side, we are announcing today the signing of the acquisition of Itesa, which reinforces Rexel's position in the attractive security and communication business in France. Itesa generated nearly EUR 80 million in sales last year through its network of 15 branches. It has a strong presence in the Alarm and Video segments and its activities are very complementary with Rexel's existing business in security solutions. The transaction should be accretive to earnings per share in year 1 and value creating in year 2. This is in line with our strict criteria for acquisitions. And the move is part of our Power Up 2025 ambition to acquire companies in adjacent businesses, including the promising data comm and security business. Transaction remains subject to the approval by the French Competition Authority and is expected to close in H2. And continuing our policy of returning cash to shareholders, we repurchased EUR 23 million in shares in Q1 as part of our EUR 400 million share buyback plan over 4 years, bringing the total to date to EUR 223 million. And with this, let me hand over to Laurent to go into our Q1 numbers in more detail.
Laurent Delabarre: Thank you, Guillaume, and good morning to all. Let's start on Slide 9 with the different building blocks of our Q1 '24 sales performance. Our sales of EUR 4.7 billion, we are down 4.5% on a reported basis, notably impacted by the expected slow start of the year on a same-day basis, coupled with a negative calendar effect of 1.5%, which will reverse in the course of the year. The positive contribution from acquisitions stood at 3% in Q1 '24, resulting from our active M&A strategy that continues to pay off and more specifically, Wasco, which we acquired last year. The currency effect stood at minus 0.5% in Q1 '24, mainly due to the depreciation of the U.S. dollar and is expected to be slightly above 0 for the full year '24, assuming spot rates remain unchanged. On Slide 10, you see the selling price impact and the breakdown of our sales evolution by geography. First, the non-cable selling price was flat in Q1 '24, up 0.7% restated from electrification categories and more specifically, the deflation on solar panels that Guillaume described as well as a temporary situation in China. So a positive start to the year in terms of pricing for our core ED families. As expected, cable pricing stood at minus 1.5%. I'll come back to that on the next slide. And by geography, we saw good sales resilience in North America at minus 1.1% while Europe and Asia Pacific were down, respectively, minus 6.9% and minus 7.7%. I will detail Europe and North America in the next slide. And more specifically on Asia Pacific accounting for 6% of group revenues. China saw weak market demand, coupled with the temporary oversupply situation in industrial automation activity since mid-'23, driving negative prices and volumes. In addition, the quarter faced a challenging base effect as Q1 '23 benefited from the reopening of the country past COVID lockdown in Q4 '22. Moving to Pacific. The region was down largely due to New Zealand, which fit the recessionary environment for the fourth consecutive quarters. Australia did well and was again positive in the quarter. Moving to Slide 11 and zooming in on the copper price evolution. Let me remind you that cable pricing stood at minus 1.5% in the quarter and can be explained by 2 factors. First, the high comparable base as copper price hit a year high in Q1 '23, as illustrated on the graph with USD 8,900 per tonne in Q1 '23. Second, the price normalization starting end of Q2 '23, largely in North America. As shown on the slide, copper price started to rebound in March '24, which is a positive factor. Slide 12 focus on our performance in Europe. In Q1 '24, same-day sales were down 6.9%, mainly from challenging base effect in electrification, notably solar. Our core ED business was down a limited 3.2%, contributing for minus 2%, largely resulting from the trends in residential while non-residential is more resilient. Let me highlight the key evolutions of the quarter. We further outperformed the market in our key countries, including France, Germany and Switzerland. The integration of Wasco is on plan and business was very resilient in the quarter, driven by a favorable regulatory environment. Nordics, Benelux, Germany and Austria faced a high base effect on electrification, especially on solar. In this environment, we continued our strategy to adapt our cost base where needed. On Slide 13, we turn to our performance in North America, where same-day sales were down a limited 1.1% in Q1, explained by the negative 2.3% contribution from cable pricing for the reasons just explained. Volumes were stable in the quarter and non-cable pricing was positive. Both countries were boosted by their backlog execution. Electrification categories were down a limited minus 3.2%, contributing for minus 70 bps, mainly due to lower solar activity in California while Industrial Automation was more resilient. Excluding electrification and cable, our core ED sales were up plus 2.4% in the quarter, contributing for 150 basis points. More specifically for our 2 countries in the U.S. same-day sales growth to -- same-day sales evolution stood at minus 1.5%, with challenging residential activity and strong resilience in commercial buildings and industrial automation activity. Our diversified portfolio of non-residential activity remain a strong factor. We continue to benefit from favorable trends, for example, in schools, entertainment, government, data centers, exports, water, wastewater. By region, we did well in Florida and in the Southeast region, including Mayer, which continues to perform well. Canada, so same-day sales growth of 1%, driven by both projects in non-residential and industrial activities more specifically mining and utilities. I remind you that our utility exposure is largely related to the latest acquisition on the Wasco business and LTL more recently. On Slide 14, you see that we continue to enjoy a strong level of backlog, which bodes well for the coming quarters. Similarly to previous quarters, this shows a strong underlying demand, reflecting in both good order intake and good backlog execution. Let me illustrate this with our backlog in the U.S. and Canada, which you see on the graph. In the U.S., our backlog grew by 4% in Q1 '24 compared to Q4 '23, notably driven by data centers, retail, water, wastewater and entertainment. This gives us some visibility for the coming quarters. Let me now hand back to Guillaume.
Guillaume Texier: Thank you, Laurent. So before handing over the floor to you for the questions, let me conclude by reiterating our full year 2024 guidance, which we presented in February. As we explained during this presentation, the Q1 negative figures were included in our forecast as we had clearly flagged in February. We continue to be supported by positive trends, and we will see a more favorable comparable base in the coming quarters as we have explained. We are also confident in our internal ability to adapt to the softer 2024 environment. And as a reminder, our guidance is as follows: concerning top line, we anticipate stable to slightly positive same-day sales growth while facing a high comparable base in the first half. Concerning profitability, we expect adjusted EBITDA margin to reflect the resilience I highlighted at between 6.3% and 6.6%, and we expect to continue generating strong cash flow with the conversion rate of EBITDA into free cash flow before interest and tax, above 60%. So that concludes our presentation. And let me finish by reminding you that our next event will be our Capital Markets Day in June -- on June 7 in Paris. And we are -- we very much look forward to seeing you there. Laurent and I are now happy to take questions.
Operator: [Operator Instructions] The first question is from Martin Wilkie, Citi.
Martin Wilkie: It's Martin from Citi. The first question I had was on the backlog in the U.S. And just to understand the visibility that gives you in the short run, we have heard from some other players about some categories having extended lead times in the U.S. So just to understand, is that U.S. backlog building for -- over the sort of coming year or so? Or does that give you a lot of visibility for the second quarter? So that's my first question.
Guillaume Texier: Okay. On this first question, I think the backlog stability or increase comes both from delivery of the backlog and good order intake, frankly. I mean, there is a good order intake in the backlog coming from several categories, specifically data centers, retail was strong, waste and wastewater was strong, public buildings, entertainment. So those categories are seeing a good order intake. It is true that there are delays in delivery, but those delays are relatively stable, which means that the fact that the backlog is at a good level is providing good security on our business going forward in North America. To answer your question, I don't think that this backlog is going to certainly be delivered in the next three months and so that we are going to add several months in one quarter. No, it's going to take time. But that being said, the delivery is steady and is not changing compared to the situation we had seen in the last quarter. So that's creating mostly good confidence on the fact that, in particular, the non-resi activity is quite good in the U.S. I hope it gives some color to your question, which is an interesting one.
Martin Wilkie: Yes. That was helpful. And if I could just have a follow-up on another region, you've called out pricing on industrial automation in China. We have heard from some other players that there are green shoots in the China automation market. Just to understand, are you seeing something similar there in terms of inventory levels normalizing pricing normalizing. I would be interested to hear what you're seeing in that markets.
Guillaume Texier: I will ask Laurent to answer this one.
Laurent Delabarre: Yes. We have -- compared to other country, we have a business mix with a bit more of OEMs in China, and they were kind of overstocking on them, and so there is a kind of normalization going on with a pricing decrease, and we are clearing our inventory. And because of that, I mean, both the pricing is negative, and they are quite lower level of activity compared to the year before. One key element also in the performance is really this rebound seen from Europe, we forgot it. But Q4 '22 was a very strong quarter of lockdown in China. And then early '23, there was a huge boom in activity on which there is a high comparable base being in Q1 of '24. So that's the main explanation for the performance.
Guillaume Texier: Explanation. But in terms of green shoots in China, I think we are seeing that. Absolutely. The activity is picking up overall, and we expect that -- I mean because also of the better comparables in the year...
Laurent Delabarre: Yes. And the pricing are normalizing, and we should see improving performance in -- starting Q2.
Operator: The next question is from Akash Gupta with JPMorgan.
Akash Gupta: My first one is on pricing, and thanks for breaking it down into electrification and conventional ED. The question I have is that you have given us year-on-year trends for both of the categories in Q1. I'm wondering if you can also provide some color on how prices in these two categories have moved sequentially into Q1 from Q4? And a follow-up to that is that as we look forward in Q2 and rest of the year, anything that you can provide on sequential price development in both these conventional ED and electrification categories.
Guillaume Texier: So things are a little bit -- the way we flagged it in February, which means that in traditional ED categories, in most of them, we have price increases, they are relatively modest. And that results in the figures that you have seen, which is plus 0.7% in traditional electrical distribution. I would expect things sequentially to be relatively stable. They are not going to be negative. They are not going to be that positive either. We are going to stay in this ballpark, I think, in terms of pricing, for traditional ED. That excludes, obviously, cable, which we have to take into account. I mean you saw that for cable, in Q1, we had a negative pricing of minus 9.4%, which is very much in line with the copper evolution, which I think was 5% down compared to last year. Now in Q2, and I don't know what's going to be the case going forward, but in Q2, we are already 15% above in terms of spot price of copper above the Q2 figure of last year. So we should see at some point, even though it's not mathematical and it's not immediate, but we should see a reversal of this pricing effect on cable. On the electrification categories, we have seen a negative link to the 2 effects -- I mean, mostly to the 2 effects we were mentioning. One is Industrial Automation in China. And I think Laurent commented on this one, but we are going to still have a base effect for Q2, I think. And there is a solar panel category, which is also -- which sequentially continue to be a little bit down in Q1. It's difficult to predict. But that being said, we see some stability at the end of Q1. And when I look at the polysilicon price, there is also stability at the level of polysilicon price. Now it doesn't depend only on polysilicon, but okay. Maybe, Laurent, you will...
Laurent Delabarre: Yes, I will try. On solar panel start to deflate end of H1 last year, so we should very quickly hit the base effect and have a more positive impact.
Guillaume Texier: So I hope Akash, it gives a little bit of additional information on that. So relatively stable sequentially, I think, in core or traditional ED business. On cable, if things remain completely stable, we should see a reversal of the effect. And on electrification, it looks like for the 2 main drivers, which are Industrial Automation in China and the solar categories, we are going to start to hit a better base effect with the sequential pricing seemingly stable and probably recovering a little bit in China at some time.
Akash Gupta: And my follow-up question is a little bit of color on European performance. The winter this year was a bit milder than what we normally see in France and some other Western European countries. I'm wondering if that had any positive effect on your performance. And maybe that could indicate that on an underlying basis, it might be little bit weaker if we adjust for the weather pattern in first quarter.
Guillaume Texier: I mean that's a good question, but the weather effects go in all directions. I have to say because when there is good weather, people -- I mean, construction activity tends to be a little bit more active because there is a possibility of doing things outside. That being said, as you know, electricity is mostly done inside, so it doesn't have a big impact. And to the opposite, when the weather is mild, we don't sell the same amount of heating systems. There is a correlation between the demand and heating systems and the weather which go in exactly the opposite direction. So I would stay away from interpreting the weather as having an influence. In Q1, on top of that, you have so many things in terms of working days. We try to restate that, but it's always difficult in terms of strikes. In many countries, I mean, you remember that we had strikes in a few countries, farmer strikes, which blocked a little bit of things, the strike in Finland, et cetera. So I would say, overall, there is nothing exceptional to mention in Europe in Q1. I think the performance is reflective of what we have said on the trends, which means that, the residential market is weak. We know that, and the rest of the markets are holding well.
Operator: The next question is from Daniela Costa, Goldman Sachs.
Daniela Costa: I have two questions as well, but I'll ask them one at a time. First of all, just wanted to explore a bit more what you mentioned in terms of the cost levers to continue to optimize your business. When we look on ratio of FTE per branch, for example, a couple of years ago before Mayer, you were slightly lower. Do you see this maybe slightly temporarily weaker environment has an opportunity to push perhaps more with that? And can you elaborate sort of what could look for a little bit more in detail in terms of the optionality to optimize the cost base? And then I have a second one different.
Guillaume Texier: No. I mean we continue to push all the time to get better productivity overall in our operations. As you know, we are pushing digitalization of our business. We add to that since last year, a particular push on artificial intelligence, which is helping us optimize our operations. It's not specifically at the level of the branches. It's a little bit everywhere. It's in branches. It's in call centers. It's also in distribution centers when it comes to industrial, I mean, to automation of the distribution centers. And the current environment is not particularly helping or being unfavorable to that, but it's true that it gives us the opportunity to put even more focus on that. And I think -- I don't think that we disclose the FTE at the end of Q1. But you will see that we are substantially lower than our expectations, which means that we are doing a good job in controlling the FTEs. As you know, headcount is something like 2/3 of our cost base. So it's very important for us to be able to do that. And we are doing that, frankly, Daniela, at all levels. And it's not because the market is a little bit softer than last year than we are doing that, but it's true that it gives us the opportunity to focus even more of the teams on these particular actions.
Daniela Costa: And my second question is more regarding how should we think about supplier consolidation? Is that -- generally do you see that as a good thing that leads further pricing increases and its good for you? Or do the suppliers get more power? I'm thinking specifically the U.S. cable market where we are getting potential news flows of significant consolidation? How does that impact, if at all, your business?
Guillaume Texier: Okay. So you're talking about Prysmian and Anchor. I think we see that -- we always see that as a positive. I mean there are moving parts, obviously, but we see that as a positive because as a customer, we will go to the 2 players consolidating, and we will obviously ask for the better conditions on one versus the other -- on the 2 as a customer, and there's going to be a negotiation happening. It doesn't always translate into better rebates because the world is not as simple as that. But at least there is a negotiation on those topics. But beyond that, what we like is the consolidation with -- under the umbrella of players who are really focused on value-added. And with large players, we tend to have a richer collaboration, which helps us provide additional services, additional value to the customers and get out of the commodity space, which in cable is always a difficulty. So we always welcome consolidation in the hands of large international players with whom we have a good collaboration, which is the case with Prysmian, like with the competitors, with the large competitors. But we think, in general, that consolidation is a good thing for us, absolutely.
Operator: The next question is from Philip Buller of Berenberg.
Philip Buller: Obviously, the tone is quite upbeat. It feels like the underlying performance is solid, but there's quite a few big moving parts, which I just want to understand how best to infer those. I know it's a sales-only call, but we've had a sharp drop in electrical products. I know that was expected, but it's unclear how profitable these items were. We've also had a very big uptake in digital penetration. So based on what you're seeing in Q1, has your view on the H1 versus H2 profit distribution or margin distribution evolved in any way as we get to the end of Q1?
Guillaume Texier: Okay. So I can take a few sub-questions in there. To start with, in terms of profitability of the electrification categories versus the rest, I think overall, the right assumption is to say that it's mostly the same. So there is no particular mix change effect on our profitability on that. In terms of digital, it's a little bit the same. When we go digital, usually, it's a positive for us in terms of efficiency of our operations. But in terms of gross margin, it doesn't change much because we are talking the same price conditions for the same set of customers. They are just going through a different channel, going from physical to the rest. So the savings that we can make are mostly on the SG&A side. So now in terms of the more precise question about profit distribution, I think we said at the beginning of the year, and I'm not going to get into much more details. But first of all, we are confirming our guidance in terms of profitability. And we said at the beginning of the year, and I'm confirming that the H1 profitability should be lower than the H2 profitability. And yes, I think that's what it is. There is going to be a little bit less profitability because of a little bit less volume, I mean we highlighted many moving parts on that. And also because of the fact that the cost savings action plan that we have in place obviously give increasing returns as we progress throughout the year. So I think that's what you're going to see.
Philip Buller: And just a follow-up, the digital penetration, is that kind of ahead of plan? It looks like a big step-up and it felt like we were already at quite a high level. So I was just wondering if that was trending perhaps ahead of expectations and why that might be?
Guillaume Texier: No, it's not particularly ahead of our expectations. We have very ambitious targets. We have said in our Capital Market Day in 2022 that we would reach 40% in 2025. 2025 is tomorrow, and so we have to go fast. But that being said, no, it's not -- it's the rhythm at which we progress year after year. And if you compare to where we were at the end of Q4, we are progressing, but not accelerating particularly. The countries in which we are doing a very good job are in particular U.K., but it was completely expected because it's very much linked to the investments that we made last year of installing a new automated distribution center close to London, which is allowing us to have a very good supply chain value proposition, which translates into an ability to push digital much more. So all of that was planned and expected. So no particular surprise here, but we are happy to see that because it's always a way to first differentiate with the customers and seconds to optimize our operations.
Operator: The next question is from Alexander Virgo, Bank of America.
Alexander Virgo: I wonder if you could talk a little bit about expectations, not so much necessarily in a forward-looking basis. But just when you talk about Q1 being weak as expected and included in guidance, I think there's been a fair number of moving parts that have been weaker than expected. So I wonder if you could just talk a little bit about where you were surprised in both directions maybe because obviously, we're not changing the full year guide. I think the second question, if I could ask you just a little -- to push you a little bit if we were to keep the copper price at the current spot, how much of a tailwind would end up being for the full year. And I'm just thinking about that, obviously, in the context of stable to slightly positive growth guidance for the full year. We're just trying to basically break it down a bit.
Guillaume Texier: Yes. So to answer your question, Alex, we were not that surprised by any of the moving parts. If I take -- if I look at each one of the moving parts, we knew that residential was going to be weak, and it is indeed weak. We felt that North America was going to be solid. And I would say maybe the only small surprise, I would have liked in North America -- and I mean I always want more. I would have liked the North American volume to be a little bit higher. And I would have liked us to be able to deliver the backlog a little bit more, but it depends very much on the ability also of the suppliers to deliver. So it's a question of timing mostly. In terms of pricing, as you have seen in core electrical distribution, we are exactly where we said we would be with limited price increases, but still positive pricing. On cable, we had flagged the fact that at current, cable price, we would have a negative in Q1 and a positive in the rest of the year. And that's exactly what is happening. So I would say, overall, no particular surprise either way. Not negative and not positive either. We have not seen a strong rebound on the economy. The strong area remain the ones that we had identified, for example, non-residential in the U.S. And so I would say no big surprise. Now when it comes to expectations for the future and in particular, to guidance, I mean, first of all, I mean, you know that. But remember what the figures are in terms of base effect. Last year, the growth was 10%, 6%, 3% and 1% quarter after quarter. So basically, a rule of thumb is that the base decreases by something like 400 basis points every quarter. And so that's a strong effect in the fact that we maintain and we are confident in our guidance of stable to slightly positive. And maybe a comment on cable. Cable price was a clear negative in Q1 with a minus 9% effect, which is largely the consequence of copper price being 5% lower than Q1 last year. And it's true that the situation has completely changed since the beginning of April with 15% positive -- 15% higher copper than the average of Q2 last year. So in terms of the mathematical -- if copper price was to stay stable for the rest of the year, Laurent, did you make the calculation of that?
Laurent Delabarre: Yes. And first, we don't bet on copper when assessing the...
Guillaume Texier: I guess the question is...
Laurent Delabarre: The guidance was done with the average copper of last year, but copper stays at the current level, we made the math on valuation of USD 500 per tonne and USD 500 per tonne is bringing roughly 0.6% on the same-day sales growth and around 5 to 6 basis points on the profitability.
Operator: The next question is from William Mackie with Kepler Cheuvreux.
William Mackie: Yes, a couple of things, please, if I can follow up. The first one, you've called out a number of times in your prepared comments and more recently about your adaptation measures and cost measures and especially within Europe to adjust to the changing demand situation. Clearly, there's an emphasis on the long-term productivity gains from digitalization and automation. But can you talk a little bit more about some of the short-term measures that you're implementing to preserve profitability across either the U.S., Asia or Europe and whether there will be exceptional costs related to those?
Guillaume Texier: No, William, I mean, the measures are relatively basic. And it's about, first of all, reducing the number of temporary people, especially in distribution centers. You know that we have a proportion of temporary people exactly because of that, because of the variability of the demand. So that's quite automatic. It's a question of acting quickly. But because there are temporary, there is no additional cost. And when we are in this order of magnitude of variation of volume, we are also able on the non-temporary people to play with replacement or nonreplacement which means that we don't have costs associated to that. It's a question of being fast and obviously also being creative in the way to adapt the organizations because the people who leave are not necessarily in the spots where you want less people. So you have to adapt to change people, to train them to new things, et cetera, et cetera. But at this stage, all the measures that we are taking are not associated with the restructuring costs. And the last one, obviously, is on the 1/3 of our cost base, which is not particularly linked to people, which is about costs, and that's everything, that's travel and entertainment, that's professional fees from consultants, et cetera, et cetera, and we are leaving no stone unturned on that. And I should add because -- but I don't mention it because it's a little bit mathematical, but there is a bonus part, obviously, and the variable part to the salaries, and obviously, this one is reducing when the performance is not there, and that's quite automatic. So to give a fast answer to your question, no, you should not expect any restructuring costs in the results of the year, no.
William Mackie: Okay. Great. And then the second area is residential markets. We've seen this trend of weakness now for a number of quarters, the sort of tightening phase of the monetary backdrop has come perhaps towards a plateau with debates about easing timing. I mean is there any signs or how would you describe the kind of trend in your residential businesses across Europe or North America? Do you see signs of bottoming? Or what sort of point do you think we can get through this trough?
Guillaume Texier: Look, I mean, I would be very cautious on that. At this stage, I mean, it's weak. It continues to be weak quarter after quarter. It was weak since a long time in new construction, and it's also obviously impacting a little bit renovation because of the transactions being down. At this stage, I would love to be optimistic and to see green shoots of a recovery. I don't see that at this stage. And so I think we will have to wait for the Central Bank's decision and for that to flow into the economy for me to be able to comment on the fact that the recovery is in front of us. What I can say is that the guidance of the year is not betting on that.
Operator: The next question is from Andre Kukhnin with UBS.
Andre Kukhnin: Can I just follow up on the margin while I know it's not the right forum? But at the full year results, I think we discussed that you had a degree of confidence that you'll stay in the range for H1 -- in the full year guidance range for H1, given the macro backdrop? Would you say with the Q1 top line results that you've seen printed, has that reinforced that belief that you can stay in the full year guidance range in H1?
Guillaume Texier: I mean, look, I mean, it's a Q1 result. It's mostly about sales. So I would just repeat what I said, which is on the full year guidance. I mean we confirm the full year guidance, and I think it will be time at the end of H1 to comment on how it works, how it's timed, et cetera. At this stage, I wouldn't go much further than that in terms of comments on margin. Really, it's about sales. And sorry not to be able to answer more precisely your question.
Andre Kukhnin: No, no, I understand. And if I may, on market share gains that you've seen across a few European geographies, could you talk about order of magnitude there? How much of the growth that was contributed by market share gains? And what kind of the depth of the potential levels is the scope for much more?
Guillaume Texier: Look, Andre, on market share, you have to understand that for us, there is no particularly reliable way of measuring market share. The way we get information on market share is either through professional associations when they exist and they exist in a few countries, but certainly not all, from suppliers when they give us figures and we try to triangulate to make sure that we get the right information and also the number of customers that we serve. And looking at the number of customers that we serve is also a good proxy of market share gains or reduction, which means that at the end of the day, we use all 3 sources of information, but there is no precise figures on that. What is interesting, and that's the reason why we commented on that is that we saw this quarter and in the last few quarters, we saw market share gains in many important countries for us, but it's more qualitative and quantitative. I think it's contributing to the fact that in many countries, you will see when they are listed that we have incrementally better results than our competitors over the last few quarters. But that being said, I'm not able to tell you how much of our growth is linked to market share gains and how much is linked to the market evolution. But it's a positive for us because what it demonstrates is the fact that what we have put in place into -- in terms of additional services, in terms of bringing more value to the customer is, in fact, working in many countries. Now is it going to be a sustained driver of growth in the future? I think this is the kind of question that I'm going to postpone for the Capital Market Day.
Operator: The next question is from Eric Lemarie, CIC.
Eric Lemarié: [Technical Difficulty]
Guillaume Texier: I'm not sure I totally understand your question, Eric.
Operator: Yes, there was some noise coming from his line. So the next question is from William Mackie, Kepler Chevreux is a follow-up question.
William Mackie: Two things, actually, really quick. One, could you do you want to set any key themes around what we should expect for the Capital Markets Day? And the second is, congratulations on the further progress on your M&A strategy. Could you talk a little about further pipeline or what we might add for the rest of the year?
Guillaume Texier: Yes. So in terms of themes that you should expect for the Capital Market Day, I mean, first of all, we are going to -- we're going, I think, to give you more granularity into what we are doing in our three main markets, residential, but also a big focus on non-residential and industrial markets because I feel that those two last markets have not been talked about so much in Rexel in recent past. And so that's something that we want to help you understand better what kind of value added we bring to the customers there, how can digitalization help us in those segments, et cetera. So that's one thing that you're going to see. And obviously, we are going to talk about mid-term expectations and targets, and we are going to update you on that. Like always, in Capital Markets Day, you should expect a little bit further visibility into the future beyond 2025 in terms of both top line evolution and profitability and I mean for the rest of the strategic update. In terms of M&A activity, as you saw, we have done one acquisition that we have announced today. We have a relatively good pipeline, and which is focused on 2 main areas -- I mean, if I summarize, 2 main areas. In terms of geographical area, mostly in North America. We are very interested in North America. It doesn't mean like we just did that we are going -- not going to expand in Europe, but really one of our areas of focus in North America. And the second big category for us is adjacencies. And you've seen that this one was in the data comm space. We try to enrich the profile of Rexel by exposing the group to adjacencies, which are high growth depending on further megatrends and helping us to be exposed to high-growth areas and to profitable areas. So I would say, overall, our pipeline is relatively busy, and you should expect more activity during the year with us being very focused on value creation and on buying at the right price.
Operator: The next question is from Eric Lemarie, CIC.
Eric Lemarié: Sorry. I was wondering whether you could give us more color on the HVAC trends in Europe. It's part of the electrification product and it's supposed to be dynamic, and I was wondering what was the figure for Q1.
Guillaume Texier: Thank you for the question, Eric. I'm not sure I will give you the figures, but the HVAC trends in Europe were not super positive in Q1, I think, for a combination of 2 things. The first one is the weather, which didn't, I mean 3 things. There was the weather, which didn't help. There was also the residential construction activity in general, which was not super active, and there is a link between both. And for the specific part, which is linked to energy transition, you have this effect that I talked about, which is the fact that in many countries, you had changes in regulations and incentives, which are not necessarily negative, in fact, I mean, let's take the example of France. I think it's a positive change. But because of the low visibility that it created, the effect is that many people decided to wait a little bit to see if they understood better the conditions in which they were doing the investment. So this is a change effect because in many countries, indeed, the environment is quite supportive in terms of regulation and in terms of incentives, but it has resulted in people saying, "Oh, you know what, we don't understand completely what's happening here. Let's wait a few more months." So the beginning of the year, was not great. The Q1 was not great in terms of HVAC, but I fully expect the recovery to happen because it's the middle very clearly of the agenda of energy transition of many European countries.
Operator: The next question is from Miguel Borrega, BNP Paribas.
Miguel Borrega: On pricing for the core ED products, you reported your own pricing was 0.7%. And I remember last time you commented on suppliers pushing through prices between 1% and 5%. Has that been in line with your expectations? Are you still seeing that kind of supplier pricing? And then maybe a follow-up, how should we think about pricing for ED products for the rest of the year? Do you think at some point, it could also turn negative as we progress?
Guillaume Texier: Yes. So first of all, yes, it's in line with what we expected. When we talked about -- the difficulty is when we talk about core ED in general, there are 2 things within that, I mean we should get into the details, but the categories like breakers, lighting, et cetera. and there are categories which we have previously in some comments, identified as part of the commodities like conduits, like steel piping, et cetera. And so we saw greater pricing in the first categories than in the second category, which explains a little bit the difference between what we had said 1% to 5% and the figure that we get 0.7%. For the rest of the year, I would expect things to remain in this territory. I don't expect the ED pricing to turn negative because I mean, first of all, on the first category, the noncommodity part of core ED, we are seeing the same trends. I mean the suppliers are in the same mindset of pushing price. And on the rest, I think we are starting to hit positive comparables compared to last year. And so frankly, I think the best expectation is to say that it's going to remain slightly positive. I don't expect that to turn negative, no.
Miguel Borrega: And then a follow-up on the last point on electrification, you talked about comps easing in the second half, but at the same time, lack of visibility on regulation. Is there an element that the supply chain is also bloated namely in terms of heat pumps and solar panels? So can you maybe just comment on your expectations for electrification in the second part of the year? Would you expect growth to reaccelerate into positive territory?
Guillaume Texier: As you said, there are many moving parts here. The comparison base is very, very strong. I mean the evolution of comparison base is very, very strong, in electrification. So I think it's going to be much easier to post a positive figures in the second part of the year. In terms of sequential activity, when I say lack of visibility, in reality, the regulations and the incentives are activity country by country. It's just that the industry, I mean, the installers, the end customers took a little bit of time to try to understand the many things, which have changed at the beginning of the year. So there is a lag effect. I would expect that to disappear as the year progresses. And the third effect that you are talking about in terms of supply is really very much about pricing. And at this stage, as you know, on the solar panel part, we have seen already a big decrease last year in pricing. I mean, by all means, we feel that we are close to the bottom of that. I mean when I look at -- as I mentioned, the price of polysilicon, et cetera, but who knows? And in terms of heat pumps for the moment, I mean first of all, it's not such a super big category for us, but we have seen no particular evolution in terms of pricing. Things are holding relatively well, it's flattish. So yes, that's what I can comment on.
Operator: [Operator Instructions] Mr. Texier, there are no more questions registered at this time. I turn the conference back to you for any closing remarks. Thank you.
Guillaume Texier: I mean thank you for your questions. The main messages are that, I mean, first of all, the results of the quarter are very much in line with what we had expected entering the year. And that's the reason why we are confirming the guidance for the year. It's an environment which is more clearly a little bit softer than last year, as we mentioned, but we see that as a very good opportunity also to answer the main question that we have all the time, which is in a softer environment, can you maintain the margins? And we will talk more about that in the Capital Markets Day as well in our H1 results. Thank you.